Operator: Ladies and gentlemen, welcome to the Centamin Q2 Results Conference Call. My name is Shaade and I'll be coordinating your call today [Operator Instructions]. I will now hand over to your host, Andrew Pardey, CEO of Centamin to begin. Andrew, please go ahead.
Andrew Pardey: Good morning, everyone and thank you for taking the time to dial in this morning to looking to this call. Joining me on this call is Ross Jerrard, our Chief Financial Officer and Jeremy Langford our Chief Operating Officer. Before I go into any of the details, important tonight that our interim financial results, including interim dividends will be published in less than two weeks on the 31 of July 2019, which will be followed by an interim presentation and webcast. So, can you please hold your finance related questions until then, because we will not be able to address them at this time. This is entirely an operational update. On the 31st of July we will also be publishing our near-term outlook on the same day. And the only reason for the delay has been we've had Jeremy Langford who join us as COO, who I must say is making a very material improvement to the way we operate, it's to carry and John Singleton, who was recently also joined us as a Head of Corporate Development. And those two also joining the team, I wanted him to go through review the model’s schedules et cetera. And once that almost complete, and will provide the guidance update for 2020 and 2021, on the 31 of July. Now, turning to the quarter, as you know, we've published our second quarter production results earlier this morning, which included significant exploration activities and material developments against the AFT activities. Disappointingly during the quarter, we did have two lost time injuries which is below standard and unacceptable for it. On the positive side, we produced 118,000 ounces of gold bringing the Hapi production up to 134,000 ounces. And this is in line with where we have guided on the H1-H2 split of a 45-55 split in production. A stronger second half of the year is scheduled. This is driven principally from the open pit contributing up to two-thirds of the ounces. As the open pit drives the schedule to consistently deliver in excess of 1 gram per ton. Both of you have followed the story for a long time will be aware of the head design. Now stage four west of the open pit we will be mining through the Hapi zone, which as you also remember back in 2017, the second half of 2017. That's when we had our record production periods. We had quarters of 154,000 and 156,000 ounces, that was contributing pipe from the underground and the open pit. But the open pit at that stage, the interim stage free pit was mining the top of the head design Stage 4 West is now to improve that area, so expect to see very good growth coming out of the open pit. in the second half of Q2. With that we reiterate our annual guidance of 490,000 to 520,000 ounces for the year. Taking a slightly closer look at the quarter, the open pit is performing well. It is the largest moving exercise. And I'm pleased with the continued improvements to productivity particularly in the loading hole This is an area, you might recall, speaking about last year with regards to visible costs per ton savings. With further training greater focus -- we know with further training greater focus we are seeing more improvements. This quarter the tons were up slightly as we were doing the push back on the Stage 4 West and Stage 5. In July, the grades attracting as we expect from the west wall and as we approach the top of the happy time. With the underground, the focus remains strictly on great compliance to plan, great controlled drilling and dilution controls. Q2 delivered improved sloping grades to plan at 7.22 grams per ton, which was a 57% improvement year-on-year, which marked the peak of their dilution travails if you recall this time last year in 2018. As we've discussed 2019 underground plan called for greater waste, waste development. As we were developing new production levels to get development will in advance of production. In Q2, nearly half of their scheduled material has been reclassified the door as it was carrying a great or greater than 2 grams per ton. This has driven up this development of ore tons and subsequently driven down the development ore grade through mill. But I must re-state This is material that's been mined that is about 2 grams per ton. Right at the end of Q2 in part of the underground mine in the Upper M1, there was a localized geo technical issue, it was a slumping failure on the contact between the porphyry and the sediment. Whilst this does not restrict access to the four stokes in this area, it is delaying mining of those because it has restricted secondary egress. And as you know, an important thing for us is the safety of our employee. So, we have delayed mining of those stopes until we can reestablish the secondary egress. That remedial work is underway and we expect to be back mining in that upper area but more during August. On the processing plant, the mill continues to perform well. We did have record throughput through the processing plant. But, setting records is not a strong motivation. It's also ensuring we have profitable outputs coming through the processing plant. And whilst we put record tons through the processing plant, we did have a lot of spillage. So, there was a lot of clean-up as we all going on. So please do not expect the tons through the processing part to continue to be increasing any further. On the operation side, I'm again incredibly proud of the exploration work done by our teams this quarter. The systematic drilling program across the Sukari underground returned solid results, supporting our target for a year on year underground reserve replacement, while increasing our structural understanding of the geology and the future mine plan and future development for the Sukari underground. Importantly, the exploration program at Horus Deeps, which is 400 meters below the bottom of the existing underground and outside of any defined resources has delineated multiple high-grade shale editing structures. Obviously, a lot more work needs to be done on these before they can be classified into resources, but it is showing continuation of the underground 400 meters below our existing base of current underground working. This drilling in conjunction with the seismic work that is also underway is about fully understanding the scale and the true capability of the Sukari underground and the Sukari tenement for future growth and resource expansion. I'm also pleased Doropo’s drilling and Côte d'Ivoire has been predominantly focused on infill and extension drilling on the Doropo resource area and that is all going to feedback into the models that what we can provide the PEA update in the second half of the year. That is all going according to plan. Okay, with that, that was a quick summary. I will now hand back to the operator and hand back for questions and answers.
Operator: [Operator Instructions] So we have our first question from James Bell from RBC Capital Markets. James, your line is now open.
James Bell: Yeah, good morning, and thanks for the call. Just two quick ones on the underground, in terms of the localized geotechnical issue that you had, are you able to give a bit more color if this might affect other areas of the underground? In other words, all the egresses, secondary regresses on the porphyry contract that maybe are concerning for you. And secondly, just in terms of thinking about grades for the second half of the year, obviously you've had quite a big variation Q-on-Q. How should we think about the balance of the year? should we think about our recovery back to Q1 levels or do you feel like it's going to be at the lower end given that you've got that big offset in grade in the open pit. Thanks.
Andrew Pardey: Look, first of all the secondary egress, secondary access to egress that that is a safety area, and this is only in the upper Amun, which impacts access to four stopes. And when I say four stopes, both stopes are now mined at the same time you mine them in sequence. So, it just delayed that sequencing until we can reestablish the secondary axis. So just in case of an emergency, you can get people out. Lower Amun and Ptah are separate from this area, but you also have secondary access as well. They run on that foothold contact. And at this point in time we see we're not aware of any potential issues that could restrict access to those areas.
James Bell: Okay, that makes sense. And then any -- are you able to give any spear on the sort of grades in terms of the second half of the year at this stage or not?
Andrew Pardey: Underground. The open pit grades are going to improve. The open pit grades are being fed to the plant. According to the plan we'll be above the gram. And the underground grades of Q3, we're delaying these higher-grade stopes from Amun slightly. Q3, I expect the underground grade to be slightly down. But then Q4, it will be recovering back to similar grades of what we saw in Q1.
James Bell: Okay, that's great. And then just one quick one, can you remind us when the next resource reserve update is going to be? And then can you talk. -- sorry?
Andrew Pardey: It will be, at the end -- look, it'll be done through December 31. Resource work reserve impact, this week has commenced on site with a geological consultant. So that work is underway. And obviously now following that there's the reserve work for the underground and the optimization work for the open pit. So, there will be an update provided for December 31 of this year.
James Bell: Okay. That's great. And then one quick one, could you remind us when they expect to see any initial resource around Cleopatra that time or is it still a bit early to see that coming into any sort of hard numbers?
Andrew Pardey: We had another successful quarter drilling in Cleopatra. It's really having those results come through. But there'll be some small addition from Cleopatra that results still coming through. We're getting close to that time we are looking to immediately drilling in 110 in Cleopatra. There'll be some resource, but it won't be huge, but that really depends how quickly we can get the results in.
James Bell: Okay, perfect. Thanks very much.
Operator: Thank you, James. Our next question is from Alan Spence from Jefferies. Alan, your line is now open.
Alan Spence: Thanks. Just one quick question on the open pit. I know you guided to two grades above one gram per ton. And I'm just wondering if you'll be falling to the happy zone in Q3 or will it have a greater sequential impact into Q4 and we could see kind of a step up from Q4.
Andrew Pardey: We will be well and truly into it in Q4. We are already, it's only early in Q3 but we are seeing the grade of the ore being set to the processing part from the open pit increasing.
Alan Spence: Okay. That answers it. Thanks very much.
Operator: Thank you, Alan. Our next question is from Michael Stoner from Berenberg. Michael, your line is now open.
Michael Stoner: Good morning. So, couple of quick questions for me. Strip ratio seems to be trending down. I guess ore mined was up a small amount. Is that something you're expecting to hold as the grades come through as well or will we see grades rise with strip rise slightly too.
Andrew Pardey: We will see the strip rise by as grades is always down is the happy day [ph]. Meanwhile we’re still stripping states by the state in stage 5 north. They have predominantly low grade and life. So, you should see an increase in the stripping ratio.
Michael Stoner: Okay, thank you. And then on dilution, you've delivered an improvement this quarter. Just kind of you and the technical team, see opportunities go further than this or you are kind of now broadly happy with where you are at on dilution.
Andrew Pardey: I’m never happy with dilution to be perfectly honest. Look there's further improvements there is further work that we can be doing in both the underground and the open pit. The open pit when it's in the core of the ore body it's okay to mine it made of inches but certain sections of the ore should be mined at five-meter benches. It's all about grade and grade is king with the underground stoping again you design a stope. You design your ring for blasting. During the QA/QC checks on those rings, you dip the drill to the right area, and then the firing sequence and then following the procedure when you actually stop bugging [ph] that is mining the material out of the stope. There's always room for improvement in those.
Michael Stoner: Okay, and then more on to expiration. You talked about drilling results 400 meters below Amun and Horus. What steps is this program drilling to below -- is it kind of holding around 400 or you going significantly deeper?
Andrew Pardey: They're pushing to that 400- and 500-meter type depth from the Amun part of the mine. There's one rig that’s focusing on drilling those holes out. I mean, there's three other rigs also drilling their away, but they’re focusing on near term, near term and medium-term growth both are in Amun and Ptah, and then the other rig that is drilling their way up in Cleopatra. Cleopatra drilling is really focusing on the Cleopatra, the Antoni and the Julius structures, so in that area Stage 7 of the open pit. It's also drilling through into that area. So, the future stage 7 of the open pit as well with some long holes.
Michael Stoner: Okay, and then on Cleopatra and then separately Doropo, could you quickly remind me of the work programs and the kind of milestones we could expect [multiple speakers].
Andrew Pardey: Cleopatra is, the important thing to me, the Cleopatra is getting out just over 11,000 meters of drilling completed, which will focus on the Cleopatra Julius and to a lesser extent the Antoni structure. Once that drilling is completed, and we've got the results in, we can then do the modeling and we can develop look at what we have there. What is – the Cleopatra drilling gives us two options, underground mining in the short term on those structures, longer term drilling on the contact, the east and the western contact of depth, that is also the open pit. Last part is Stage 7 in that area of the open pit is waste material in the model at this point in time, because of the lack of drilling. This Cleopatra drilling is also going some way to potentially adding additional ore into Stage 7, which is inside the current life of mine itself.
Michael Stoner: Okay, and then the program at Doropo?
Andrew Pardey: At the right place, the right place drilling, this year has really focused on extensions of the resource area, the main resource area and some infill to give us potentially more resource ounces and also more confidence in the resource so that we can update that resource and then do an update on the PEA, which we’ll be doing in the second half of the year. And that's with the carrier as well, that's one of the key things for Jeremy to also get his teeth into. And as we're all very aware, Jeremy is very strong at PEA type work as well as operation.
Michael Stoner: Yeah, understood, okay. So, will we see that PEA in H2? Or will you be kind of working that through H2 and…?
Andrew Pardey: We'll be working on it through H2. I would expect we'll be talking about it more early next year. Obviously, if we get it done sooner, we will get it out sooner. But I wouldn't plan on that, we’ll get results out as soon as we can. The reality is, I think it'll be Q1 next year. It was always a tough date to come out with.
Michael Stoner: Okay, yeah, I understood. Thanks for your time. That's all for me.
Andrew Pardey: Great. Thank you.
Operator: Thank you, Michael. Our next question is from Nour Eldin Sherif from Arqaam Capital. Noah, your line is now open.
Nour Eldin Sherif: Well, thank you very much. My questions have been answered. Thank you.
Operator: Okay, so the next question is from Hunter Hillcoat from Investec.
Hunter Hillcoat: Good morning, guys. Just a quick question, you mentioned that you'd be fully into the Hapi zone in the fourth quarter, how long into next year, would you expect to stay in Hapi zone.
Andrew Pardey: We will be in that Hapi zone for the pit through all of 2020.
Hunter Hillcoat: Great. Good news. Thank you.
Operator: Thank you, Hunter. [Operator Instructions] We have no further questions on the line.
Andrew Pardey: Okay. All right. Thank you very much for taking your time to join the call this morning. I’ll just reiterate, H1 was a solid operational half, and we now look forward to delivering the next two quarters. Our interim results, interim dividend and outlook for 2020 and 2021, will all be released on the 31 of July, and I look forward to speaking with you all again then. In the meantime, if you do have any further questions, please be in touch with myself or Alexandra Carse, and we will answer those questions for you. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines. Have a lovely day.